Operator: Good morning and welcome to the SUMR Brands' Fiscal 2019 Third Quarter Conference Call [Operator Instructions] I would like to now turn the conference over to your host Chris Witty. Please go ahead.
Chris Witty: Hello and welcome to the SUMR Brands' 2019 third quarter conference call. With me on the call today is the company's CEO, Mark Messner; and CFO, Paul Francese. I would now like to provide a brief safe harbor statement. This call may include forward-looking statements that relate to SUMR Brands' outlook for 2019 and beyond. These forward-looking statements are subject to various risks and uncertainties that could cause actual results and events to differ materially from these statements. Please refer to the risk factors contained in the company's annual report on Form 10-K for the year ended December 29, 2018, its quarterly reports on Form 10-Q and in our other filings with the Securities and Exchange Commission. During the call management may make references to adjusted EBITDA, adjusted net income and adjusted earnings per share. These metrics are non-GAAP financial measures, which the company believes help investors gain a meaningful understanding of changes in SUMR Brands' operations. For more information on non-GAAP financial measures, please see the table for a reconciliation of GAAP results to non-GAAP measures included in the company's financial release issued yesterday evening. And with that, I'd like to turn the call over to Mark Messner. Mark?
Mark Messner: Thanks, Chris and good morning everyone we appreciate you joining our third quarter conference call today I’ll start by providing an overview of recent developments after which Paul will go through our financial results in detail. We reported net sales of $41.5 million for the quarter, down slightly from last year’s $43.8 million. No secret in the retail industry that the current tariff situation is an external factor negatively impacting results. For SUMR Brands a portion of our products are currently subjected to 25% tariffs, while others are classified under a 15% tariff. As you can imagine, this causes not only internal operating issues, but also creates an unstable environment with our customers. This is an unprecedented situation affecting all elements of the supply chain and our competitors are in the same boat. Major brands like ours are dealing with this as best they can, but the structure of certain price points once clearly understood and defendable are in a chaotic state. We anticipate further disruption for the remainder of 2019 as our channel partners work to manage costs and adjust inventory just like we are. We wanted to provide this upfront commentary on the tariffs because of their large negative impact to our quarterly results, results that we’re not proud of. Even in such a tough environment, however, we generate $6.3 million in cash from operations, with notable reductions in inventory receivables and payables from second quarter levels. Using this cash, we paid down $6 million on our credit facilities, reducing debt to its lowest level since the beginning of 2019. We ended the period with borrowing availability of nearly $7 million and we’re pleased once again to have the full support of our bank group in providing flexibility as we navigate through these near-term headwinds. At the same time we reported inventory terms of 3.8 and days sales outstanding of 64, both consistent with our announced goals this year. Such operational achievements underscore our commitment to improving the company’s fundamental performance and adapting to current industry conditions. Now let me discuss some product and marketing trends in detail. I’ll start by saying what a great turnout we had at this year’s Kind + Jugend' trade show in Cologne, Germany where we met with numerous channel partners and discussed the outlook for 2019 and beyond. We had very productive meetings with all major customers during which we received positive feedback about new and existing products and were praised for areas of particular strength in our core categories and brands. We also confirmed additional placement with some key European retail establishments and channel partners. All-in-all, we received upbeat reviews about our entire product portfolio and strong interest in Summer’s new innovative travel system and infant car seat, which remain on track for introduction early next year. We’re excited for the launch of these products not only due to the customer opinions expressed thus far, but also for the potential for margin enhancement as they are exempt from tariff regulations. We believe such innovative offerings will bolster both growth and profitability next year. That said, we’ve decided to restructure our international business starting this November to better focus on core markets and further streamline our operations. We plan to change our distribution model by increasing shipments our third-party logistics center in China, phasing out our U.K. distribution facility by the end of March. This new distribution model will greatly improve the company’s overall profitability. With Brexit and other currency issues impacting the company, we are making a concerted effort to streamline this part of our business. In the same vein, we will purposely walk away from expanding in certain product areas in order to enhance overall bottom-line results, focusing on those categories with greater price integrity and margin expansion opportunity Before turning the call over to Paul, I want to say in closing that we’re working hard at SUMR Brands to reduce costs, strengthen the balance sheet and invest in innovative products that drive top line growth. Margins remain a priority, even as we continue to face headwinds on variety of fronts related to trade disputes with China. Managing costs is tantamount. We’re operating in a very fluid environment where changes in production, warehousing and shipping are the new normal, as we analyze consumer trends and negotiate price points with our channel partners. We’re attacking these problems head-on, but acknowledge tariffs will continue to be disruptive. In that light SUMR Brands has recently engaged Baird to access strategic alternatives that can unlock value for our shareholders. We did not know as we’ve yet what recommendations will be forthcoming, but we owe it to this company, our staff customers and investors to look at all possible ways to strengthen and support SUMR Brands and its portfolio products. We report back in the future as to what potential opportunities are open to us. With that, I’ll turn it over to Paul to review our financial results in detail. Paul?
Paul Francese: Thank you, Mark and good morning everyone. As a reminder our 10-Q and related press release were issued last night. In addition to listening to this conference call, I encourage you to review our filings. Third quarter net sales were $41.5 million compared to $43.8 million for the third quarter of 2018. As Mark mentioned, the company’s top line performance was negatively impacted by the ongoing 25% tariffs on certain goods imported from China and to a lesser extent by a separate 15% tariff imposed September 1 on additional imported products. While incremental 5% tariffs will not impose October 15th as originally anticipated, the uncertain environment is a challenge for any company in our space, impacting both revenue and margins. We are doing everything possible working hand-in-hand with our channel partners to manage through this difficult time, while enticing customers would attractive innovative products at many price points. We are also going to our overseas activities as Mark discussed to streamline the distribution process. Gross profit was $12.6 million for the third quarter of fiscal 2019 versus $13.6 million in 2018. And our gross margin as a percent of sales was 30.3% in 2019 versus 31% last year. The margin decline year-over-year was primarily due to product mix and the impact and tariffs on goods imported from China. However, even with the higher tariffs, we continue to actively manage our inventory levels and increase inventory turns. The impact of tariffs going forward is hard to predict. All those discussions with our channel partners are ongoing, it takes time for price changes to flow through to our customers and some adjustments are difficult within competitive product lines. Selling expense was $3.6 million in the third quarter of 2019 versus $3.7 million last year. As a percent of net sales, selling expense was 8.7% in 2019 versus 8.3% last year. The increase in selling expense was due to an increase in e-commerce marketing to support the quickly changing retail environment. General and administrative expenses were $8.4 million in the third quarter versus $7.6 million in the prior year period. And G&A as a percent of sales was 20.1% this year versus 17.4% in 2018.  The year-over-year change primarily reflects the fact that last year the company booked a $0.5 million positive adjustment the decrease allowances for a bad debt, due to a partial recovery from the Toys “R” Us bankruptcy. This year’s G&A did not have such a positive adjustment, but did include a $0.3 million in legal settlement cost. Interest expense was $1.2 million in fiscal 2019 versus $1.1 million last year. The company reported a net loss of $1.7 million or $0.09 per share in the third quarter of 2019 compared with net income of $0.1 million or $0.01 per share in 2018. Adjusted EBITDA for the third quarter of 2019 was $0.8 million versus $2 million for the third quarter of 2018. Adjusted EBITDA in 2019 included a $0.1 million in bank permitted add-back charges compared with a credit reduction of $0.4 million in the prior-year period. The adjusted EBITDA as a percent of net sales was 2% in fiscal 2019 versus 4.6% last year. Now turning to the balance sheet. As of September 28, 2019 Summer Infant had approximately $2.7 million of cash and $48.6 million of bank debt compared with $0.7 million of cash and $47.9 million of bank debt as of December 29, 2018. Now debt was reduced by $6 million this period versus the second period of fiscal 2019 as the Company generated approximately $6.3 million cash from operations for the three months ended September 28, 2019. Most of our capital spending on new products has already been encouraged and we expect a reduction in capital spending for the remainder of 2019 and into 2020. Inventory at the end of the third quarter was $30.2 million compared with $36.1 million as of December 29, 2018 reflecting ongoing working capital management and inventory turns with 3.8 our goal was to reduce inventory to around $30 million which has been accomplished. Trade receivables at the end of September were $29.7 million compared to $31.2 million at the beginning of fiscal 2019. Day sales outstanding or DSL was 64 under our goal of 70. Accounts payable and accrued expenses was $30.9 million as of September 28, 2019 compared with $37.1 million at the beginning of the fiscal year. The company generated approximately $6.3 million of cash from operations during the quarter as I mentioned a moment ago compared to $1.7 million use of cash in the prior year period. At the end of the third quarter we had approximately $7 million of availability under our line of credit. As Mark mentioned we recently completed an amendment with our Bank Group which provides additional liquidity as we work through the impact of tariffs. We thank them for their commitment to SUMR Brands. And with that, I'll turn the call over to the operator and open it up to questions.
Operator: [Operator Instructions] Our first question comes from Eric Beder with SCC Research.
Eric Beder: Now let's talk a little bit about that international changes here. So when you look at the shifts here, what should we be expecting in terms of the international business changing in terms of focus here. Are we looking at – what's the goal here in terms of the international in terms of driving higher returns there?
Mark Messner: Good question. We’ll definitely walk away from some low performing SKUs and just an overall focus on improving efficiency and logistics through distribution out of Hong Kong instead of off of the island and customers we've spoken to have reacted well to our new distribution model but it's all about efficiency and producing better profits in the international business Eric.
Eric Beder: Great. In terms of the tariff driven items, are you trying to - are you able to reduce your dependence I guess on China as a manufacturer and what has been the ability to pass on the price increases here in the U.S.?
Mark Messner: Yes, well, good question. We are reshoring product and looking at tariff exempt regions and move it - continuing to move products to tariff-exempt regions that’s not a quick action but it’s a continuous one that we've undertaken and will continue to. I’d say going through four different lists of tariffs its laborious and going back to retailers several times for increases which we've been successful with of course there is sharing in the tariffs from time to time depending on the item but we've been successful in getting price increases through but it's created lumpiness in the marketplace. Retails have changed and velocities on certain products change with those retail changes. So it’s a very dynamic environment relative to tariffs but we continue to resource like I mentioned. We’re redesigning products just to get cost efficiencies on those products and we're working with suppliers on those design changes to increase our efficiencies and lower our costs. So we are very active in the tariff mitigation process.
Paul Francese: Eric, this is Paul. Just going back to add a little bit more color on our international restructuring, earlier this year, we've actually made the announcement that we had opened up a 3PL warehouse in China to service our international customers. We've tested that strategy and it's worked out really well for us. And now we're expanding that to service our customers in Europe and the U.K. as well. We feel that servicing customers from that warehouse in China will provide a significant improvement and profitability as we focus on servicing our key customers in the U.K. and Europe. The slow - I would say closure of our warehouse in the U.K. will take several months. We believe that will be completed by the ending of March and on an annual basis we believe the gain and profitability will be about a $1 million on annualized basis.
Eric Beder: Well, that's great. Last question here, in 2020 what should be, you know, you have some interesting product rollouts coming up. So what are you looking forward to the most at? And how should we be thinking about how the mix shift between your different products is going to change as you kind of do these reorgs and new product entries that you talked about?
Mark Messner: Yes, probably one of the biggest product launches we're excited about is the launch of our new travel system like I mentioned earlier, which starts shipments in the beginning of next year. The advocate response we work with safety advocates and work with them as we develop a seat and it has been fantastic, very high reviews on our infant car seat. The retailer's response is equally as large you know, it can seem like a crowded space but we feel like we have a unique selling proposition that really will speak to consumers and ease of use and installation. So really excited about the car seat and travel system as an opportunity but we continue to innovate in our current core categories as well. So categories like potty, bath and gates, to name a few, and certainly will stay active under our SwaddleMe brand as well.
Operator: Our next question comes from Richard Hantke with Zacks Small-Cap Research.
Richard Hantke: I'm sitting in for Marla Marin, she's our consumer products analysts and we're obviously new to the story so I'll apologies in advance. I just had a few questions. And I'll just ask a couple and then I'll get back in the queue because I don't want hold up, there's others that want to ask some questions. If there's a time at the end, I'll ask a few more. But starting with tariff situation and, you know, to be honest, I can say maybe you can say it, it's absolutely crazy. I mean, the uncertainty, I don't know how you're dealing with it, you know, because you don't know, one day they're on, next day they are off, one day they're on, next day they're off. But help me understand, so much of what's going on is, you know, in the weakness in the business driven by tariffs, but yet you've hired Baird, to do some evaluation, strategic options. Can you kind of talk a little bit about, the tariffs and Baird and what they're doing, they can't do anything about the tariffs, but can you give me a little more color there, please? Thanks.
Mark Messner: Well, I mean, the tariffs and how they affect our performance, I mean, obviously, as retailers are getting price increases their buying routines change. And the lumpiness in the market is, you know, some changes might go through for one brand and not the other. So it's the - playing field is choppy right now. In terms of strategic opportunities we're investigating with Baird. I mean, obviously, we have leadership in many categories. We have strong brands and there's good opportunities with those product lines and those brands to possibly further unlock shareholder value, maybe through sale, the product line, or brand or maybe more than that. So now we're just want to do our due diligence and provide what we need to drive shareholder value.
Richard Hantke: Now you did say that you don't know what they're going to recommend but it will be sometime in the future, can you narrow it down a little bit with the future be three months out, six months out any sense for us as to when you think they'll come back to you and when you come to us?
Mark Messner: Yes, as a management team, we believe it's very prudent for us to engage an outside financial advisor to really explore the opportunities that may be there to look to really bring value to our assets. When I look at SUMR Brands, we have tremendous value in our brands. We have tremendous value in our placement at retail. We have tremendous value in the innovative products that we bring to customers. And so there's - our goal is to look for maximizing those values, either through a transaction of some sort whether or not selling off of a product line, looking for a merger, but look into how do we exploit those values that we don't really see being valued by the market today. So, they're going to - they have the task of advising us, see what is the best options for us to maximize shareholder value in the future. We expect that to happen in a relatively short period of time. But we don't have it a specific time period for them to get back to us.
Richard Hantke: Now with respect to - I'll ask the question maybe two different ways, maybe it'll be the same answer but I'll a chance or however you like, you know, the decline in sales from the year ago period, you know, to a little over to 2.3 million. And I think your gross margins, you know, also declined. I mean, what - ex the impact of tariffs, guess what would you think - what's a normalized gross margin we should be looking at for this business? I understand it's seasonal but I mean, can you kind of quantify a little bit the impact of the tariffs? Or what would you think the sales would have done ex- tariffs? Is there any way you can kind of give me a little color?
Mark Messner: Yes. The best way of quantifying that Richard, is that we do a rather detailed bottoms up budget every year, and the midst of what we had budgeted to sell this year has been pretty consistent. So when I look at the change in gross margin, the only true variable that I see versus how we budgeted would be the impact of the tariffs. And the impact and our margins are about 173 basis points. So yes, the tariffs have had a significant impact on our margins. 173 basis points is pretty significant. Here again, we're doing everything we can to mitigate that, we're doing it on several fronts. We've asked for concessions from our suppliers, which they've been very supportive and we've got some concessions from them. We've gotten price increases at retail. And we've moved some productions outside of China. But I believe that the impact in our gross margins due to the tariffs are about 173 basis points.
Richard Hantke: Thank you. Okay. I've got a few more questions, but I'll get back in the queue. I don't want to hold up others who had some questions, and maybe there'll be time at the end before you have to go. All right. Thank you.
Operator: [Operator Instructions] Our next question will be a follow-up from Richard Hantke with Zacks Small-Cap Research.
Richard Hantke: Eric had asked a few questions on your international components and things like that. I just so I understand a little better. I think last quarter, you mentioned that 16% I believe, of your sales are internationally, you know, based and I think half of that is in Canada and half Rest of the World. And you expected that to grow. Now, based on what we're talking about today, how do I look at you know, the International component of - I guess of your business?
Mark Messner: Yes, like we mentioned previously, I mean, the focus will be on profitability. So the growth might be hampered through that effort. I mean, we're changing distribution model to deliver to customers and as we change that model, and let's face it, the retail landscape is changing pretty rapidly to again, the goal is to improve profitability, and Paul highlighted what we expect there. So I mean with retailers like Mothercare, which is a pretty big retailer and a baby space announcing administration last week, that's going to challenge some growth and we have to shift sales to other channel partners.
Paul Francese: If we look at international two ways, we look at Canada and then we look at the Rest of the World. Canada next year, we will be predicting growth in Canada next year, the rest of the world, we expect a decline in sales, but an increase in profitability, and that profitability increase is coming from the efficiencies that we're gaining by servicing all of our customers from the Chinese warehouse, and also focusing on a key group of customers that we believe provides us more of a an ability to have a reasonable margin.
Richard Hantke: Okay, got it. Now, speaking of margin, you know, looking at some of your presentation materials earlier in the year, one of your goals you laid out was, you know, you want to have sustained profitability. Now I realized, you know, all things on the table now. But you know, when you made that comment, you know, what, what do you define as profitability. Is it going to be gross margin, is it going to be adjusted EBITDA. And when you say sustain, you know, that's, you know, a year-on-year in over a certain period of time. Is there any - is that still a valid goal? And you know, how do you kind of look at it?
Mark Messner: Yeah, well, I mean, moving into some of the categories that I mentioned earlier, the average sale price is much higher, and the opportunity for margin dollars is certainly higher as well. I mean, so we focus on gross margin, and then the projects that we're talking about to increase the company's efficiency for profitability increase as well to just work its way bottom line EBITDA. So, it's a mix of things. We're in some pretty competitively priced categories right now, which when you're getting down into some lower retails take an even heavier impact from tariffs if the retail price positioning moves. So our focus will be on pushing retails higher with the feature sets to entice consumers to move there. Part of the travel system launches, well, I mean, will help us with our entry in connection with first time expectant parents. So once we delight those folks, we're going to keep them with us and with the brand for the long haul. So that's a little bit of a mix of the overall product strategy and just company efficiency improvement strategy.
Richard Hantke: Yes, got it, all right. Excellent. Just, you know, one final kind of macro question. I'll leave it at that. Your stocks been under a lot of pressure, you know, year-to-date, for lack of a better way to ask the question how much of that is deserved, versus, you know, things out of your control versus, you know, maybe the, you know, investment community not really understanding what you're up to and a little, you know, some misconceptions, whatever the case may be. Can you kind of talk a little bit about it, in terms of, you know, the stock decline and, you know, how much is on you and how much is on us and how much is on, you know, the rest of the world something like that.
Mark Messner: Yes, okay. Well, nobody likes excuses. I mean, our performance certainly isn't great. We're not proud of the results we're delivering this quarter, but I mean, it is a dynamic space, the baby space in particular, you've had consolidations, retail and tariffs, and just some dynamics that are outside factors that you need to deal with and you need to step up to the challenge and mitigate tariff issues. So I'd say there's a good mix of outside influences that make the business challenging, but I'd say our team is pretty nimble and depth and will step up and meet those challenges and mitigate tariffs. And we have a trough in profitability because of tariffs and just overall product mix selling products that might be higher, more products that might be higher tariffs. And we just need to work through this soft period and continue pushing forward with a good mix of products that entice consumers. We do have retailers that support our brand and our company. And I think we have good partnerships to allow us to grow but it is a very challenging environment and have to point that out.
Paul Francese: Yes, I think that there's a little bit of investor fatigue, right now. When I look back over the last two years, in 2018, this company needed to adjust after the liquidation of Toys “R” Us, which was actually a very large customer for us. We've adjusted well. After their liquidation, we've grown with our top four - as the top five accounts very well to replace Toys “R” Us. This year, we've had to adjust to the uncertainty of tariffs, which we're battling every day here. So I think that when you look at the last two years, they have been very challenging. Here again, we're not making excuses but to overcome the loss of the major customer in 2018 to overcome the uncertainty and the impact of large time tariffs against our products, we're doing everything we can to try to bring value to our shareholders. And I think that, you know, as you know, we also need to make sure that we are very attentive to reducing our debt as well. So, you know, I think that looking at those challenges, I think that we're doing everything we can. I think we made some good inroads in replacing Toys “R” Us. And I think we're doing everything we can to mitigate the impact of the tariffs and our products.
Richard Hantke: Excellent, got it. Well, you know, I'm so new to the story. I saw on your chart earlier in the year that, you know, you had some sales history, excluding BRU and I'm like, who's the BRU? I had to think about BRU for a moment there. But now I get it. So, anyway, all right, listen, thank Mark, Paul, thank you very much for your time. Those are all my questions.
Operator: As we have no further questions, this will conclude our question-and-answer session. I would like to turn the conference back over to Mr. Messner for any closing remarks.
Mark Messner: Thank you everybody for joining our call and your support of SUMR Brands. And we look forward to speaking with you next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.